Operator: Good afternoon everyone and welcome to the PLAYSTUDIOS Second Quarter 2023 Earnings Call. [Operator Instructions] As a reminder this conference is being recorded. I will now turn the conference over to Samir Jain, Head of Investor Relations and Treasury. Mr. Jain you may begin.
Samir Jain: Thank you, operator. Good afternoon, and thank you for joining us for PLAYSTUDIOS second quarter 2023 earnings call. Joining me on the call today are our Chairman and CEO, Andrew Pascal; and our CFO, Scott Peterson. Before we begin, let me remind you that during the course of this call, we will make forward-looking statements. These statements are based on our current expectations and beliefs and are subject to risks and uncertainties that could cause actual results to differ materially. Please refer to our SEC filings for a discussion of the risks and uncertainties that may affect our future results. We will also discuss certain non-GAAP financial measures during this call. These measures should not be considered as a substitute for financial results prepared in accordance with GAAP. Our results are prepared in accordance with GAAP and a reconciliation to comparable GAAP measures will be provided in our second quarter earnings release and in our SEC filings. With that, I'll pass the call to Andrew.
Andrew Pascal: Thank you, Samir. Welcome to our second quarter 2023 earnings call. Earlier today, we published a press release containing our financial results and commentary for the Second Quarter of Fiscal Year 2023. As always, our release contains considerable financial disclosures and management thoughts on topics we believe are pertinent to our company. I hope you've had a chance to read the release, and if not, would encourage you to do so. Rather than rehash what is contained there, Scott and I will spend a few minutes highlighting key developments and save the majority of today's time for your questions. We had another strong quarter topping analyst forecasts and showing material gains for most of our key metrics. Similar to last quarter, adjusted EBITDA margins expanded meaningfully year-over-year. As we've discussed before, reaching margin parity with our peers is a primary goal of ours, and something will continue to advance as we balance our focus on operational improvements with our ongoing investments in future growth. Our Play Games business division continues to benefit from the momentum in our growth portfolio while our core business is trending in line with the industry as a whole. Tetris continues to be a standout. We remain excited about the collection of game initiatives we're pursuing. As I've shared on past calls, we continue to work diligently on optimizing the Tetris Prime product while we invest in new core casual versions of this puzzle format. In addition, we're also making progress across the remainder of our growth portfolio and remain encouraged by the potential of these games. As for our playAWARDS business division, we continue to evolve the core technologies, tools, and services which enable the growth and impact of our MyVIP loyalty program. We've also been testing the waters with external game publishers to qualify their interests in our loyalty as a service solutions.  As I've reinforced on prior calls, we are the pioneers in rewarded play, and remain enthusiastic about the as-of-yet-untap potential of this unique and valuable business opportunity. We continue to believe that the validation from third parties can unlock an entirely new dimension of value, which we don't believe is fully reflected in our stock price today. I'll now turn the call over to Scott to provide some additional comments. Scott?
Scott Peterson: Good afternoon, everyone. In addition to today's press release, our Form 10-Q will be filed shortly. As such, I'll add a few comments here, but would direct you to those filings for a comprehensive summary of the second quarter's results. Similar to our first quarter, our higher adjusted EBITDA margins versus last year were primarily the result of the addition of Brainium, higher overall revenues, and lower UA spend. We do expect adjusted EBITDA margins to continue to be above prior year levels in the second half of the year. However, we do anticipate an increase in UA spending in the second half of the year in order to support our growth portfolio, and we also expect royalties as a percentage of revenue to increase, but still to be below prior year levels. Both DAU and MAU in the quarter were heavily skewed by the inclusion of Brainium, which we purchased in October of last year. Excluding Brainium, both DAU and MAU were up double digit percentages versus a year ago, driven by the momentum of our growth portfolio. ARPDAU was down due to the impact of Tetris and Brainium, both of which are advertising driven games that generally reflect lower ARPDAU but higher margins than our in-app purchase driven games. Adjusting for these advertising driven games, ARPDAU increased by approximately 8% on a year-over-year basis. Our financial position remained strong. We ended the quarter with approximately $128 million in cash, no borrowings, and full availability of our $81 million revolver. We purchased $10 million of shares during the quarter and have $30 million remaining on our stock repurchase authorization. Finally, we are increasing our 2023 adjusted EBITDA guidance to a range of $55 million to $60 million versus the previous range of $50 to $60 million. Our 2023 revenue guidance of $305 million to $325 million remains unchanged. The guidance assumes an uptick in spending to support our growth games and continued industry and economic stress. I will now turn to call back to Andrew for some closing remarks.
Andrew Pascal: Thank you, Scott, and to everyone who's dialed in for today's call. We appreciate your interest and look forward to updating you on our progress in the coming months. As always, I want to close by thanking my colleagues, fellow playmakers, and partners that work tirelessly to help us advance our business. It's through their commitment and contributions that we're able to learn, adjust, and grow. I'll now turn the call over to the operator to take your questions. Operator?
Operator: Thank you. We'll now be conducting a question and answer session. [Operator Instructions] Thank you. Our first question is from Ryan Sigdahl with Craig Hallum Capital Group. Please proceed with your question. 
Ryan Sigdahl: Good afternoon, Andrew Scott.
Andrew Pascal: Hey, Ryan, how are you?
Ryan Sigdahl: I'm good, good. I want to start with the guidance. So it implies at the midpoint that revenue growth slows margins decline because you're going to spend more on UA. I guess my head thinks if you spend more on UA, it should accelerate revenue growth. So I guess just help me reconcile kind of the midpoint, so the revenue guidance and the decline in EBITDA margin.
Andrew Pascal: I mean, look, I'll offer kind of a quick reaction and certainly Scott can weigh in as well. I think it's safe to say that, we offered a range and we didn't tighten up the range from the revenue perspective because as we do start to lean into and invest in some of the newer products that we have, we would certainly expect to see some increases in revenue. It's hard to predict at this stage, so we just felt that we would leave the band and the range of revenue guidance where it is, but felt a bit more comfortable tightening up that band from an EBITDA perspective. I think your point is clear and generally agree with you, but I just wanted to leave ourselves in flexibility.
Ryan Sigdahl: Sure. That makes sense. I'm curious how you think about ARPDAU growth versus adding new users and maybe thinking more of the core games versus the new games you're going to launch, but competitors are clearly focused on the ARPDAU, but how do you think about the balance between those two? 
Speaker: Well, I mean ARPDAU, obviously the function of audience scale and revenue. So products or companies are in a position where they have the benefit of being able to scale up their audience, which a lot obviously has been made of how difficult that is in the current environment, -- be able to scale audience and ARPDAU at the same time is challenging but can be achieved. So assuming ARPDAU remains constant, well then, clearly there are the opportunities to drive revenue by converting more of your audience and increasing the amount of value you extract from your audience, so increases in both PPU and ARPDAU, which we focus on very intensely with our core products, the more mature games that have fairly stable audiences. So I would say going forward as we continue to lean into the new casual products in our portfolio and some of the newer products that we're going to be launching and scaling, those are, we're going to be increasing our audience. And so those players that do convert and spend, they'll be earlier in their lifecycle of spending, so the ARPDAU from that audience tend to be a bit smaller, which would blend down overall ARPDAU and may also blend down ARPDAU, but over time, we would expect those cohorts to mature and to start monetizing much like the more mature older cohorts that we have, in which case we would expect to see that ARPDAU lift. So it's a bit of a tough question to answer because there's just so many factors that come into play when you're looking at ARPDAU, but hopefully that color helps.
Ryan Sigdahl: Yes. Thanks, job on the margins and execution guys. Good luck.
Andrew Pascal: Thank you, Ryan. 
Operator: Thank you. Our next question is from David Karnovsky with JP Morgan. Please proceed with your question.
David Karnovsky: Hi, thank you. I'm wondering, I mean, I know this will be in your 10-Q, but can you just let us know the relative contribution in the quarter virtual currency versus advertising, and then I want us to see if you could provide some incremental detail on your core social casino portfolio in the quarter. You did highlight in the press release a focus of investment on myKONAMI in myVEGAS, maybe contrast a bit with going on there relative to POP slots, which you didn't mention and I'm assuming maybe has better performance?
Andrew Pascal: Yes, I mean, we don't typically, break out or speak to the specific performance of each of the products. So I'll just, generalize or share that part of what precipitated the changes that we made last quarter and some of the restructuring that we did was to really align the core leadership and talent that we have within our casino genre with those two core franchises to kind of reset them, feel like there's still unrealized potential with those products. And so we went through and conducted those changes and transitions through the last quarter that we just concluded and they're still ongoing and we are encouraged and feel like there's an opportunity for us to unlock that value as we advance through this quarter into the fourth. So that's kind of the color or commentary on both myVegas and KONAMI specifically, POP has always been kind of the more of a standout performer within the casino portfolio for us in terms of its scale and its capacity to convert and monetize the audience. And so we look to it and to the teams that have managed it to really help inform how it is that we approach improving the execution of performance of both my myVEGAS and myKONAMI. So those are some of the fundamental reasons why we ended up realigning and moving those products. There's also obviously a pretty meaningful improvement in just the overall cost structure of those products as we made those changes. As far as, so that's the casino portfolio, hopefully some additional detail that's helpful with respect to the composition of revenue and the mix between in-app purchase and advertising. I'll leave that to you, Scott.
Scott Peterson: Yes. The virtual currency was just roughly 80%. Advertising was 18% and we had 2% of other revenue.
David Karnovsky: Thank you. 
Andrew Pascal: Awesome. Thank you, David.
Operator: [Operator Instructions] Our next question is from David Pang with Stifel. Please proceed with your question.
David Pang: Thanks, guys. I just had a question on playAWARDS . I think you mentioned earlier that you had some early testing with external partners. I was curious to hear what the early feedback has been thus far and how should we think about the potential business model for playAWARDS as a service for external partners?
Andrew Pascal: So we, as I alluded to in the release, we've started to engage with and select partners to just share what our intentions are and providing loyalty as a service solutions. They are preliminary conversations. We do it to kind of test the waters, get feedback, see how people react to the overall idea and proposition of incorporating loyalty into some of their core franchise products. I would say overall for the select conversations that we've had, people see it as unique and interesting, and they're curious to learn a lot more. And so the learning of a lot more has to do with what does it mean in terms of the potential impact that it can have on their overall performance? So what can and should they expect in terms of [indiscernible] and some of the key metrics? And how does that relate to the way the programs are designed and the mechanics within the programs that we emphasize? And then they have a bunch of questions around the execution. So how much resource will it actually consume to actually integrate and then ultimately service and manage over time so that they can enjoy those benefits? They can then kind of assess the returns relative to the complexity and cost of implementing it. So it's exactly the conversations that we want to be having so we understand what the sensitivities are. We obviously have a lot of our own information and data that we use to help, eliminate those conversations and provide some clarity. But there, I would characterize them still as being very early. So, and then as far as, so hopefully that addressed the questions on just generally the nature of the conversations as for the commercial model, we're, we have a bunch of different alternatives and ideas that we're also starting to socialize. There's different ways for us to monetize and extract value out of our whole loyalty proposition given that it's a marketplace. There's bunch of, there's three different parties that benefit from it. There's not only the players obviously that are enjoying these three benefits, but there's the doing makers and publishers on one side of the market. And there's the rewards partners and providers that really leverage it as a channel to go and acquire new consumers or reactivate dormant ones or really leverage and get better yield out of whatever inventory they have. And so we've engaged and have had conversations about different pricing models, but it's really way too early for us to converge on any one. But as we deal and we get a bit more clarity, we're happy to share what our thinking is. 
David Pang: Okay, that was very helpful. And just as a follow up to the, your comments on my Vegas and my Konami, I was wondering what kind of changes that are being implemented or being expected to be implemented in-game, specifically for those two games. 
Andrew Pascal: Well, they're a bit different. The my Vegas product, its overall position is it's a very easy and accessible and engaging product in terms of its presentation and creative direction and the types of games that we craft for it. Whereas Konami is really for more of the casino or slot purists, those players that really enjoy and traditionally play slot machines and casinos. And so their expectations from the product are very different. And so things that we need to do to optimize each of them are different. In the case of my Vegas, we see an opportunity to convert more of the audience and then drive up our people. When we look at the methods with which we do that in our pop slots product and some of our other products that are really successful, it calls for some economy adjustments, which are rather complicated. The economies refer to the way we manage the delivery and how we inject kind of a free currency into the cycle of the player's experience versus where we introduce friction and actually drain that currency from the economy. So the rate and pace, which would do those things and how that's balanced is something that we're revisiting actually in both of those products, but probably more so my Vegas. And then how we go about segmenting our audience and then adjusting and tailoring both the complexity and difficulty of the game experience and how it is that we go about promoting different offers and have those offers are priced in light of what we know about the players. The sophistication that we employ in doing that is something that we're advancing and evolving. And so we believe that there's an opportunity for us to both convert more players to payers and drive up the ARPDAU in the case of my Vegas. In our economy products, we think that there's also an opportunity to convert more of our audience. Even though we have fairly healthy ARPDAU with that product when compared to the other games, social games that are based upon existing real world casino content. We believe we like the market. So we think the methods that we employ in order to encourage or motivate our players that are paying to actually spend a bit more. We think there's headroom there. And again, it comes down to how the features are all integrated and balanced and the adjustments you're making your economy and then the sophistication and your segmentation and the way that you leverage it. They're both dialing the difficulty of the game and all the different types of offers that they're going to extend in order to drive and promote more spending. So those are things that both teams are pretty intensely focused on.
David Pang: Great, thanks.
Andrew Pascal: Yes, thank you, David.
Operator: Thank you. Our next question is from Greg Gibas with Northland Securities. Please proceed with your question.
Greg Gibas: Hey, good afternoon. Thanks for taking the questions. Regarding your intention to increase user acquisition spend in the coming quarters, what's kind of the reasoning there? Like expecting maybe to see improved payback on that spend going forward or is it specifically to target like certain games like Tetris? Just wanted to dive in a little bit deeper on the strategy there.
Andrew Pascal: Yes, it really has more to do with the portfolio of growth and new development products that we have. We have right now, four or five different new products that are in development that are in the markets and varying stages where we're qualifying them. And so as they, as the core metrics get to a place where they start to want and justify our spending a bit more or ultimately getting into a more general launch of those products and we'll build the launch, where they'll require a lot more resource and UA allocation. And then within our growth portfolio, the same is true. The growth products all tend to be earlier in their life cycle. We feel that they have the capacity to grow in terms of audience revenue and profit contribution. And so we'll lean into those as they continue to mature and evolve. And of course, in both cases, we're holding all of our products, both categories, but all the games within those categories. We hold to very specific and tight, performance metrics and around, payback horizons and returns on ad spend. And so I would say, across our portfolio, we -- the performance of our current UA investments is really solid. And so, as again, some of these growth products and the development stage products mature and want to justify, investing more in them and scaling and growing them, we will. And so, we're certainly hoping and anticipating that that would be true as we kind of advance and move into the fourth quarter of this year. 
Greg Gibas: Great. That's helpful, Andrew. I wanted to follow up on the restructuring, maybe regarding the cost savings that you're seeing as a result of that. How much was reflected in Q2? I know it was like a couple quarter long process. Should we see additional improvement maybe in margins as a result of that in Q3? Or would you say, most of the cost savings are kind of fully reflected at this point?
Andrew Pascal: There's still some benefits to be realized in Q3. I'll let Scott kind of speak to it. But we instituted the changes really in Q2 and we had all kinds of kind of transition plans and programs and retention plans where we carried some of the expense, into and through the second quarter. But Scott, you want to shed some light on that topic? 
Scott Peterson: Sure. I mean, Andrew's right. I mean, really, there wasn't too much savings in Q2, maybe a little bit towards the tail end. We expect to see, the bulk of the savings that we will experience in the middle of Q3 as we're exiting some leases and other things like that. So, yes, you'll see a little bit more savings. I'm not being terribly specific, but there will be some in Q3 and more in Q4. By Q4, we'll have realized all of them basically on a normalized basis. 
Greg Gibas: Okay, great. And yes, that's helpful. Just trying to get a sense of the timing there. I think lastly for me, and I know you already spoke a lot about, the early efforts and the improvements that you're working on for my Konami and my Vegas slots. But I guess I just wanted to follow up regarding, like a rough timeline on that. Like, when would we start to see those, like, I guess those efforts on, you mentioned the economy adjustments within the games and then like targeted segmenting. When would we maybe see those improvements take place? Do you have kind of a rough timeline?
Andrew Pascal: Yes, I mean, there's, there, it isn't like there's a big body of work that once it's completed, then there's kind of this key moment where all of a sudden we start to enjoy all those benefits. There's a very comprehensive set of adjustments and a roadmap that will extend, even beyond this calendar year for those products. I didn't mean to imply we don't do a lot of those things. We're constantly looking at refining and tweaking the economies and our segmentation practices. But to do more fundamental changes to the tools that we use and the applications are, themselves and the degree to which they can accommodate the kind of flexibility that we know we need more of in our products. That tends to be more foundational and requires a bit more work and time. And it's the kind of work where, you're really, I refer to this being foundational. It's kind of like you're jacking up the building and addressing some of the core infrastructure. And so until you get into it, particularly in light of the fact that, these are fairly, long standing products, you're not entirely sure that some of the issues that you're going to confront and get into. So we expect that we're going to start to see and enjoy some of the benefits this quarter into the fourth quarter, but there's no question that work will extend on into the early part of next year. So, we've got it. 
Greg Gibas: That makes sense. Appreciate it guys. 
Andrew Pascal: Yes, thank you.
Operator: Thank you. There are no further questions at this time. I'd like to hand the floor back over to Andrew Pascal for closing comments. 
Andrew Pascal: Well, thank you again just to really appreciate everybody's time and interest and we just look forward to continue to update you on our progress as we advance through the balance of the year. So thank you very much everyone. 
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.